Operator: Greetings and welcome to the Euronet Worldwide Third Quarter 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a remainder, this conference may be recorded. It is now my pleasure to introduce your host, Mr. Jeff Newman, Executive Vice President and General Counsel for Euronet Worldwide. Thank you. Mr. Newman, you may begin.
Jeff Newman: Thank you, Tonya. Good morning and welcome, everyone, to Euronet's quarterly results conference call. We'll present our results for the third quarter 2015 on this call. We have Mike Brown, our Chief Executive Officer; Rick Weller, our Chief Financial Officer; and Kevin Caponecchi, the CEO of our epay division on the call. Before we begin, I need to make our forward-looking statements disclaimer. Statements made on this call that concern Euronet's or its management's intentions, expectations or predictions of future performance are forward-looking statements. Euronet's actual results may vary materially from those anticipated in such forward-looking statements as a result of a number of factors, including economic conditions and specific countries or regions, technological developments affecting the market for the company's products and services; foreign currency exchange rate fluctuations; the effective any breaches in the security of our computer systems, the ability to renew existing contracts at profitable rates; changes in fees payable for transactions performed for cards bearing international logos or over switching networks, such as card transactions on ATMs; changes in the company's relationship with or fees charged by the company's business partners; and changes in laws and regulations affecting the company's business, including immigration laws and anti-money laundering regulations. These risks and other risks are described in the company's filings with the Securities and Exchange Commission, including our annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Copies of these filings may be obtained via the SEC's Edgar Web site or by contacting the company or the SEC. Euronet does not intend to update these forward-looking statements and undertakes no duty to any person to provide any such update under any circumstances. The company regularly posts important information to the Investor Relations section of its Web site. Now, I'll turn the call over to our CFO, Rick Weller. Rick?
Rick Weller: Thanks Jeff. Good morning and welcome everyone on the call. I will begin my comments on Slide 5. You can see Euronet's momentum continued and we delivered remarkable third quarter results with all three segments contributing double-digit operating income growth both on a reported and constant currency basis. We produced revenues of $481 million operating income of $70 million and adjusted EBITDA of $91 million. Our cash EPS was $1.04 a share, a 30% increase year-over-year and for the first time, we have delivered more than $1 per share. While currency rates for the quarter were quite different year-over-year, this 104 includes virtually no impact from currency changes since we gave guidance in July. This exceptional EPS result was first and foremost driven by stronger than expected results across all three segments of our business. As you know, the best results were made possible by consistency throughout all parts of the business. In addition, to consistently strongly results across all segments, as you may have seen in our press release this quarter's results also included the benefits of two Blue Birds. In epay, we profited from promotional activity by one of our non-mobile content providers which resulted in a $0.04 benefit to cash EPS and in money transfer, we profited by approximately $0.03 a share from a wider spread on a currency pair in one of our markets. While we were certainly pleased that we have positioned ourselves to receive the benefits of infrequently recurring items such as these two in the quarter, we have limited ability to predict that we will receive similar levels of benefit in the future. So net-net, we got about $0.07 of favorability in our results from items that we did not anticipate when we gave guidance in July. And while we believe $1.04 a share is an exceptional result, it also includes about $0.19 of headwind related to foreign currency exchange rates versus the same quarter last year, which if added to this year's number, would have resulted in a 54% year-over-year constant currency increase in cash earnings per share. It's well worth mentioning as I conclude my comments on this slide, that we are very pleased that all three segments contributed to these exceptional results an outstanding quarter for EEFT. On Slide six, you can see each segment's three-year transaction trend. EFT transactions grew 8% with the largest growth in Europe. Transaction growth was offset by declines related to the terminations of a service agreement for non-performing ATMs in China. If not for the terminations of these ATMs, transactions would have grown 13%. This termination had a large impact on ATM and transaction counts, but in the short and long-term, earnings will improve because we lost money on these ATMs. epay transactions grew 5%, driven by growth in India, Germany, Australia, New Zealand, and the Middle East and partially offset by decline in the U.K. and Brazil. The money transfer transactions grew 40%. This growth was the net result of a 46% increase in money transfers and an increase in non-money transfer transactions such as bill payment and mobile top-up of 5%. The 46% growth in money transfers was driven by continued double-digit organic growth, including strong growth in Walmart-2-Walmart transactions, and contributions from the June 2015 acquisition of IME. And this represents our 18th consecutive quarter of double-digit money transfer growth. Next slide please. On Slide 7, you will find our results, on an as reported basis. While the quarterly sequential changes to foreign currency rates were minimal, the declines in currency rates we saw earlier in the year significantly impacted our third quarter results on a year-over-year basis. Key currency changes included a decline in the Australian dollar by 22%. Declines in the Euro, the Hungarian forint and the Polish zloty of 16% each and a 7% decline in both the British pound and the Indian rupee. To normalize the impact of these foreign currency fluctuations, we have presented our results adjusted for currency exchange rates on the next slide. On Slide 8, you can see the EFT team delivered their strongest quarter of the year, growing constant currency revenue, operating income, and adjusted EBITDA by 29%, 39% and 34% respectively. These increases were the result of a 7% expansion in our global ATM network and 8% transaction growth. Year-over-year and sequential operating income and adjusted EBITDA margin expansion resulted from higher margin transactions, which are seasonably highest in the third quarter and a lift in both constant currency revenue and margin per transaction. This was an excellent quarter for the EFT segment which posted improvements in most all performance metrics from revenue through operating income. The epay segment had another solid quarter achieving constant currency revenue growth of 5%, gross profit growth of 17%, and operating income growth of 38%, and adjusted EBITDA growth of 23%. epay's revenue growth rate as compared to recent trends is a bit lighter as a result of fewer voucher sales sold by our B-2-B cadooz unit in Germany. As you may recall, we record these revenues at gross face value, and accordingly, the lighter voucher sales has a larger impact on revenue. However, as you can see in the operating profits statistics, growth statistics, these fewer voucher sales had little impact on profits. epay's growth was driven by an increase in non-mobile sales, including the promotional sales I mentioned earlier, partially offset by certain mobile declines. Constant currency revenue per transaction was consistent with prior year and gross margin per transaction improved. Year-over-year improvements in margins was the result of continued growth in higher margin non-mobile sales. This represents the fourth consecutive quarter of very strong results for our epay segment. Money transfer had another exceptional quarter with 33% revenue growth, 110% operating income growth and 72% adjusted EBITDA growth. These strong growth rates were the result of double-digit organic growth from Ria, including continued strong growth from the Walmart-2-Walmart product, contributions from our recent acquisitions of IME and XE, as well as from the infrequently recurring opportunity related to wider spreads driven by a foreign currency market dislocation on a currency pair in one of our markets. On a constant currency basis, pricing remained relatively constant with little margin pressure. Operating income and adjusted EBITDA growth outpaced revenue growth largely due to the leveraging of strong revenue growth, which disproportionately benefited the bottom line. Next slide, please. On Slide 9, you can see our balance sheet for the quarter. The decrease in cash is generally the result of cash paid to acquire XE, cash paid for capital expenditures and the timing of payment in the epay and money transfer segments, partially offset by cash generated from operations and temporary borrowings on the revolver to supply cash inventory or ATM withdraws, which are seasonally highest during the third quarter. Debt increased primarily as a result of the temporary borrowings for ATM cash supply and the acquisition of XE. Despite a bit more depth on the balance sheet, you can also see that our debt leverage statistics remained unchanged. As I mentioned last quarter, we expect debt levels to decline as we approach the end of the year and remove the seasonal inventory of cash from our ATMs and pay down the revolver. As I conclude, I think it's worth repeating that this was another outstanding quarter for Euronet, with all three segments providing double-digit constant dollar growth in operating income, which resulted in record quarterly adjusted cash earnings per share. With that, I'll hand it over to Mike.
Mike Brown: Thanks, Rick, and welcome everybody. Well, I just got to start by saying wow! What a third quarter. These results exceeded our expectations and I am particularly excited that for the first time in our history we delivered more than $1 per share in a quarter in cash EPS. As I reflect on this significant accomplishment of $1.04, I'm reminded that it was only ten years ago that we were barely achieving $1 per share for an entire year. Further, it was just last year that we first eclipsed the $2 per share mark for the entire year. In 2015, with fourth quarter guidance we have provided, we're poised to achieve more than $3 per share for the full year, a true testament to the continued success of our strategy to add more products to more devices and more locations and more countries. We have accomplished this success through strong contributions from all three segments, which given the nature of our business to add one location at a time, truly speaks to the dedication and the hard work put forth by our teams around the world. I sincerely want to thank all of our teams who deliver these exceptional results day in and day out. You make my life on these calls very easy. This was an outstanding third quarter for our entire business, let's move on to Slide 12 and we'll talk about it a little bit more. About three years ago, we started telling you that the introduction of new product devices and markets that have a strong third quarter utilization would transform our third quarter into our seasonally highest earnings quarter of the year. As you can see, we continue to see pronounced seasonality in the third quarter, driven by very strong results from EFT, including 39% and 34% constant currency growth in operating income and in EBITDA. Move on to Slide number 13, please. As you can see, we had a very active third quarter, so I will only hit on a few highlights here. Our software team completed the National Standard Indonesian Chips Specification Issuer or Bank Antardaerah, this was a significant milestone for both Euronet and the bank as they became the first commercial bank in Indonesia so complete this certification. This accomplishment together with our long-term success in Indonesia has further helped expand our customer base in the country. This is highlighted a new debit chip card agreement with Bank of Tokyo Mitsubishi and Jakarta, which requires the same chip card specifications. We also signed a card outsourcing agreement with Erzsebet, a financial institution and leader in employee voucher distribution in Hungary. Euronet will convert their paper-based voucher products into private label closed loop debit cards. We expect to convert more than a million vouchers into prepaid debit cards starting in the first quarter of next year, 2016. In Germany, we signed an agreement with Deutsche Bahn, the German Railway Network to deploy about 60 ATMs in key transportation hubs across the country, including locations in the Frankfurt Airport, as well as busy city center locations such as Berlin, Hamburg and Munich. These new ATMs are in addition to the ATMs we currently operate with Deutsche Bahn and we expect the installation of new sites to start late in the fourth quarter. In India, we signed a new Brown label deployment agreement with ICICI Bank to deploy an additional 200 Brown label ATMs. We expect to begin deploying these ATMs in the fourth quarter. We also renewed several agreements, including ATM and card outsourcing agreements with Crédit Agricole and Leumi Bank in Romania and an ATM outsourcing agreement with Alior Bank in Poland. We renewed and extended our outsourcing agreements with Société Générale and Hipotekarna Bank in Montenegro and extended our ATM deployment agreement with American Express in Denmark after the successful deployment of ATMs in the Copenhagen Airport. Slide 14, please. In India, we launched pass through value-added services on more than 40,000 of the 55,000 State Bank of India ATMs, we told you but in the first quarter of this year. As a reminder, these ATMs are now connected to our data center and provide the bank with a nice opportunity to enhance the revenue stream. These ATMs will not provide the same contribution on a per ATM basis as our own deployed ATMs, but we're pleased with the confidence the bank has shown in our ability to provide value-added content to the country's largest ATM network. Our pure commerce team launched a new product called pure payment, which is a secured hosted payments page. This product launch was a combined effort of Visa's CyberSource and Citibank to provide multicurrency pricing or card not present transaction for the Ritz Carlton in Singapore. In Poland, we expanded our cardless withdraw presence with Getin Bank, cardless withdraw is becoming an increasingly popular in Poland, and we're happy that we can provide our customers with this valuable service which we pioneered in this market. We finished the quarter with 21,128 ATMs, sequentially, we added 421 ATMs, which was offset by about a thousand of the terminated Chinese ATMs and the temporary winterization of 274 seasonal ATMs. Excluding the Chinese contract and the seasonal changes, best way to look at it, as you could say that we have added almost 1,700 ATMs this year, well within reach of our 2018 ATM deployment goal for the year. This was an outstanding quarter for our EFT team who delivered another quarter of strong earnings growth. Now we'll move on to Slide 16 and talk about epay a bit. We were pleased with -- that epay delivered its fourth consecutive quarter of double-digit operating income growth. We continue to see nice growth in our non-mobile product, partially offset by declines in mobile revenue. Now let's go on to Slide 17 and we can look at some highlights. Excluding the unanticipated high volume promotional activity, gross profit made up from non-mobile content now is in the mid 40s range and continues to grow. During the quarter, we added iTunes and Google Play to Carrefour, a large grocery store change in Turkey, as well as leading grocery stores in Greece. We expanded our partnership with Netflix in Switzerland to a large electronics retailer Media Market and a large supermarket chain called Migros. In the UAE, we signed an agreement with Solution Gulf to distribute iTunes through their 3,000 POS terminals. In the U.S., we signed a gift card mall agreement for 1,750 RadioShack locations. We were pleased with this competitive win here in the United States. Slide 18, in India, we signed mobile top-up distribution with three banks as well as mobile top-up and DTH recharge services with two community banks to provide mobile top-ups through their ATMs and online banking platform. Additionally, we launched mobile wallet top-up for Axis Bank's mobile wallet. In the United States, we signed a WebPOS activation and dealer commissioning agreement with Locust Wireless, the second largest MVNO in the United States. Our WebPOS system consolidates all dealer activity and provides the mobile operator with visibility and control over activation and promotional activities. We also expanded our partnership with RadioShack and we now will be exclusive provider for prepaid top-up at 500 RadioShack franchisees. And in Romania, we signed a mobile top-up agreement with Raiffeissen Bank to provide top-up through their online banking channel. This was another strong quarter for epay as our efforts to expand our presents have positioned us for the continued non-mobile growth as you can see in the result. Now let's move to Slide 20, and we'll talk a little bit about money transfer. You can see that the money transfer segment delivered strong top and bottom line growth again this quarter. We're pleased to see continued growth for the Walmart-2-Walmart product as customers continue to be attracted to the product simplicity and value proposition compared to other product alternatives in the U.S. domestic market. We've also been very satisfied with the performance of our two recent money transfer acquisitions in their first few months as part of Euronet's money transfer segment. Malaysian money provider IME contribute nicely to our third quarter results. IME has been growing a great entry point for the Asian and Middle East markets, which are among the largest and fastest growing receipt markets in the developing world. Here is a few numbers. According to World Bank, East Asia received about $122 billion in remittances in 2014 and is expected to grow almost 3% in 2015. While South Asia received $116 billion in remittances and is expected to grow more than 3.5% for the same period. For comparative purposes, Latin America is about half the size and growing about half as fast. We have seen strong performance from this region since the acquisition closed in June and we'll continue to focus on expanding our network there in the coming quarters. In 2015, acquisition of online foreign currency exchange rate provider XE has also been a nice addition to our money transfer portfolio. While the acquisition will modestly contribute to our earnings in the first year of operations, their large online presence and tremendous customer base is a very important piece of our digital strategy. We are excited about our money transfer business and expect to see continued growth in the coming quarters. Next slide, please. Slide number 21 shows our money transfer transactions for the quarter. Here we achieved double-digit money transfer growth for the 18th consecutive quarter with 46% money transfer growth and 5% growth in non-money transfer transactions. Next slide please. Our network now reaches 287,000 locations in 147 countries, a 19% year-over-year increase in total location. This quarter, we launched 23 new correspondence across 16 countries, one of the more significant launches was private banks where we now offer stand and pay out services at 12,000 private bank self service kiosks in the Ukraine. Pakistan is the world's seventh largest receipt market, taking in about $17 billion in remittances per year. This quarter we added 800 locations there with Bank of Punjab and Bank Al Habib a nice addition to our network in this very important market. In Bangladesh, we launched nearly 1,400 locations with three different banks. Agrani Bank, Dhaka Bank and Dutch Bangla Bank, Bangladesh is the world's eighth largest receipt market, receiving approximately $15 billion of their remittances during 2014. And we continued our expansion to the very important Indian corridor, launching cash pick up service with Bank Kotak Mahindra. All three of these markets, Pakistan, Bangladesh and India are strategic, not only for our core markets but they also represent critical corridors for our Middle East expansion. Finally, we signed 15 new correspondent agreements spanning twelve countries in the third quarter. This was another great quarter for our money transfer business. We're pleased with the progress we are making to integrate IME and XE into our money transfer segment, while continuing to grow our organic business in the double-digit. Now let's move on to Slide number 23 and we will wrap up the quarter. We achieved adjusted cash earnings per share of $1.04, a 30% reported increase and an astounding 54% constant currency increase over Q3 2014 last year and the first time in our history we've reached more than $1 per share cash EPS in a quarter. Our cash EPS was $0.10 ahead of our guidance and for the 11th consecutive quarter we've achieved double-digit cash EPS growth. EFT benefited from seasonally higher transactions made possible by the continued focus on ATM and POS network expansion, and epay delivered double-digit constant currency operating income growth for the fourth consecutive quarter driven by continued strength in non-mobile product sales. Money transfer growth continued, including a double-digit organic growth, including strong performance from Walmart-2-Walmart and good contributions from IME and XE. Our balance sheet as Rick said remains strong with good cash flow generation. And finally, we expect adjusted cash earnings per share to be approximately $0.92 in the fourth quarter, assuming consistent foreign currency exchange rates. With that, we'll be happy to answer any questions. Operator, will you please assist.
Operator: Certainly. [Operator Instructions] And our first question will come from Chris Shutler of William Blair. Your line is open. Mr. Shutler, your line is open.
Chris Shutler: Can you hear me?
Mike Brown: Now we can.
Chris Shutler: I'm sorry, that was strange. So first, good morning, guys.
Rick Weller: Good morning.
Mike Brown: Good morning.
Chris Shutler: On the -- let's start with money transfer. If you were to strip out the acquisitions, Walmart and the one-time pricing benefit, can you give us some sense what the core business transactions revenue is growing?
Rick Weller: As we said, double-digit.
Chris Shutler: Still double-digit?
Rick Weller: Good double-digit.
Mike Brown: Yes, good double digits.
Chris Shutler: Okay. That's good to hear.
Mike Brown: That continues from the last several quarters, too.
Chris Shutler: Yep, yep, understood. And then the terminations of the 1300 machines in China. I know you said that, that was positive short-term and long-term. Can you give us some sense of the financial impact of that and then are you going to be redeploying those machines?
Rick Weller: We won't redeploy them. And the amounts are not significant in terms of negative impact on the operations, but they weren't making us money.
Mike Brown: And they weren't our assets either. 
Rick Weller: No, they weren't our ATMs. It was our --
Chris Shutler: Okay, got you. That makes sense. Then on epay, if we were to get rid of the $0.04 promotional benefit, which if I do my math right, it looks like it equates to a little bit over $2 million EBITDA impact. The EBITDA number would have been about $15 million, which seems looks like it was a year-over-year decline, quarter-over-quarter decline, certainly there is some FX in there, which is probably prettier material, but just wanted to get your thoughts their? And anything to call out, I could do, so that business still growing?
Rick Weller: Yes. The cadooz business continues to grow. And then, I would tell you, using your -- yes, net-net it continues to grow. It happens to be a business that can be a little lumpy for us. Before you heard us made comments that we really benefited by the cadooz business in this period, it's just the timing was a bit different. And because that number comes in at gross face value instead of a net transactional value, it has a little bit more of an impact on that revenue line, but it continues to grow and meet our expectations. I'm probably a little bit confused on your observation on a constant currency basis using your roughly $2 million number there. If you nick-off a couple of million of the -- and if you just go to slide 8 on my presentation there, you nick-off a couple million dollars on each one of both op income and adjusted EBITDA, you would still see that there was nice growth in the epay segment.
Chris Shutler: Yep, I see that now. That makes sense. Makes sense. Thanks, guys.
Operator: And our next question comes from Rayna Kumar of Evercore. Your line is open.
Rayna Kumar: Good morning. Are you seeing any increased competition in the Polish ATM market following a recent competitor's entry?
Mike Brown: Well, let's put things in perspective. I think our competitor has got something like 20 or 30 ATMs in Poland, we are connected to something like 6000, 7000. They have done it with one contract with a gas station chain, which I'm sure is not profitable for them. We looked at the same deal and we passed on it. So, I guess you could say there is a competitor in the market, but it certainly isn't a threat to us and it really in anyway at this point. But I would tell you also, and this is something I keep telling everybody. The fact of the matter is, when you look at the U.S. per capita ATMs versus Western Europe, we have about twice as many ATMs per capita as Western Europe and about four times as many ATMs per capita the countries in Central Europe. So I don't know how you want to average that. Say that's maybe a three-fold kind of difference. There's actually plenty of room for competitors, but it's just that we -- because we started there and we have such economies of scale, we're always going to be able to eke out a better margin than anybody else.
Rayna Kumar: That's very helpful. Could you also update us on your initiative to expand DCC to ATMs, and maybe explain where the largest opportunities are to add DCC?
Mike Brown: Well, we don't -- all the ATMs that we own have DCC as well as any other product that we can think of to put on there. I mean, we talk about DCC a lot, but we make a lot of money off of advertising. We do some prepaid mobile top-up. We do CRM applications. Basically, depending on the bank and depending on the market, we'll do anything we can to make money off of our ATM fleet. And so on all of the ATMs that we own, every one of those products that we can do come standard as we turn on that ATM. We have mentioned to you that we do other value-added transactions with third parties fleets of ATMs. Say a bank's ATMs that are run by themselves but they would like to make additional revenue on them. We might offer them an opportunity to make advertising revenue to do prepaid mobile top-up. We've been doing prepaid mobile top-up for since 1999 as an example. We do state -- we -- in India we added DCC to State Bank of India, we mentioned those numbers. We have got 40,000 of those like. So basically, every other ATM in the world could probably use a little revenue help and we're there to provide that for those banks.
Rayna Kumar: Great. Thank you.
Operator: And our next question comes from Mike Grondahl of Piper Jaffray. Your line is open.
Mike Grondahl: Yes. Thanks, guys, for taking my questions. The first one, on a core basis, it looks like you beat your $0.94 guidance by $0.03. What would you attribute that to, Mike?
Mike Brown: I mean, it's just a -- I mean I wish I would say it -- I could point to one thing, but basically it was across the board. I mean just everybody just did a bit better than they thought they were going to do when we gave our guidance. We had a couple of Blue Birds on top of it, but basically we've got very strong, organic growth in our business and it just continues to do well.
Mike Grondahl: Got it. Any newer products or services that you're excited about for 4Q or 2016?
Mike Brown: I think you'll see us do more in the prepaid debit card area. We mentioned that one for Erzsebet card in Hungary. I think we're going to do a lot more in the prepaid debit card area as we move forward. We won a contract with Argos in the U.K. to provide prepaid debit cards for them as well. So we will see several of those things get of the ground next year, I'm excited about that. I'm excited late next year to see the strong integration of IME -- sorry, with XE to the rest of our money transfer business with high FX, et cetera. So it's just -- I hate to call it boring, but we're just going to be doing what we've been telling you for several quarters in a row and we just want to do more of.
Mike Grondahl: Got it, got it. And then, any update on high six in the U.S. or getting that going in Canada?
Mike Brown: We're not yet live in Canada. We continue to grow our personnel in the U.S. We've got to kind of beef that up. We have got the customer service and all that stuff covered and now we've got to get the sales guys and revenue producers all online and trained and we're working on that right now. So the system is working, we'll take a transaction from you if would you like to send money, just call us up. But before we really start to see the growth, I think you're going to see that into the fourth quarter and in the first quarter next year.
Mike Grondahl: Got it. Maybe lastly I'll just ask, I know you're investing this year in Ria online, how is that going, the $5 million to $6 million you're probably putting behind that? How do you feel the tractions starting there?
Mike Brown: Oh, I think it's going okay. But one of the things that we have done is, we bought XE because we believe that's a much more cost-effective way to garner transactions than the traditional, paying Yahoo or Google or somebody for a lead. So as XE comes online, I think you're going to see that change considerably. I mean they've got something like 3.5 billion hits a year to their Web sit. They have about 39 million downloads of their application. There is plenty of people that we could probably extract from transactions from once we're able to point all of those in our direction.
Rick Weller: And one of the statistics I think that we shared with you when we acquired XE is that about a third of the people that represented that they needed a payment need or a payment in international payment interest would prefer to get that in cash pick up, which is exactly down the fairway of what our Ria business does.
Mike Grondahl: Got it, great. Thanks a lot, guys.
Operator: And our next question comes from Peter Heckmann of Avondale. Your line is open, Peter.
Peter Heckmann: Good morning, gentlemen. I got on a little bit late, but I have a couple of follow-up questions. Did you provide on the fourth quarter guidance, can you quantify the approximate FX headwind there like you did to the third quarter?
Rick Weller: Well, yes, you're talking about -- it would be on a year-over-year basis?
Peter Heckmann: Yes.
Rick Weller: We didn't provide that, but just kind of roughly speaking, if you take a look at the Euro last year in the fourth quarter, I think it was roughly 125 on average, kind of, I think.
Mike Brown: Yes, it started high and finished low.
Rick Weller: And it finished the quarter pretty low. So if you were to compare to that to where we are today on the Euro, yes, I'm looking at last year's fourth quarter on the Euro and it was 1248. Compared to the number today, that's still a good 10% number different from where we are today. So not that, that would be a perfect surrogate, but knowing that the Aussie dollar was down more than that the forint and the zloty were down consistent with the euro, kind of use that 10% number, so you probably got at least 10% difference in there, $0.09 or $0.10 on that $0.92.
Peter Heckmann: Okay, okay. But on a assuming spot rates stay roughly the same, I mean it appears that we are lacking a lot of the FX headwind in the fourth quarter and based on current spot rates it looks to be like a FX could be fairly neutral till 2016. Would you agree with that or --?
Rick Weller: Well, if it stays where it is today, yes.
Peter Heckmann: Yes. That's good.
Rick Weller: We've never been able to figure that out, so if somebody can, let us know.
Mike Brown: Yes.
Peter Heckmann: Fair enough. Can you size in India with the 200 additional ATMs that ICICI -- could you quantify that outscoring backlog both brown label and outscored?
Mike Brown: That's a brown label, I guess you could call it backlog, so it's a contract that we will install over the next month.
Peter Heckmann: How about the total backlog for ATMs in terms of both outsourcing and brown label in all markets?
Mike Brown: Kevin?
Kevin Caponecchi: Yes. I would say Pete, we'll be making some future announcements, but I'm just going to call it strong.
Peter Heckmann: Okay, got it. And then, just lastly, Mike, could you give us an update on any opportunities you're seeing with some of the new mobile handset payment products like Google Pay, Samsung Pay? Do you see any potential benefit to Euronet from that?
Mike Brown: Kevin, you want to shoot at that one?
Kevin Caponecchi: Yes. Can you repeat that, Pete? Sorry, I was thinking about your ATM question.
Peter Heckmann: Yes, sure. Just regards to some of the new mobile-based payment releases, like Google Pay, Samsung Pay. Are those constructed similarly to an Apple Pay where there's a credit card backing it or you see it --?
Kevin Caponecchi: Yes. I'm going to answer it a little differently, Pete, and then I'll try to help you, share with you with what we're thinking. All of these payment systems today, these brands are focused on the source of funding being a credit card, and they've all announced that that's their focus, so I can't speak for Google, but I suspect that the Google Play launch they do the source of funds will be a credit card. Over time and when they expand to markets outside of the U.S. and the U.K., they're going to have to think of a payment source different than a credit card, as you've learned following us. And obviously, we're actively pitching that they should leverage our cash load network as we do for lots of various wallets and gift cards. So the timing of that, I can't speak to, but I'm confident that a cash load into some sort of payment wallet will happen at some point in the future and I'm confident to say that I would expect that we, given our incredible cash load network that we've established we would have some role in that.
Peter Heckmann: Okay. And then, just generally, outside of those pilots, but are there any cash load digital products that you currently experimenting with or piloting with, or are there any others that competitors are doing and if so, how does the economic model differ from a traditional prepaid card where the commissions paid by the retailer to a cash flow, is that a fixed fee that would be paid by the users?
Kevin Caponecchi: Yes. Again, I wouldn't be at liberty to speak to what the brands are doing. So I can't answer your question around what pilots they are doing. What I would tell you though is that just like with a card payment, there's interchange, just like which is a cost. Similarly there is a fee structure typically associated with cash load that there's a fee structure. Whether that's passed to the consumer or absorbed by the merchant, it's a decision that the wallet or the brand partner makes.
Peter Heckmann: Okay, thank you.
Mike Brown: Operator, do we have any further questions?
Jeff Newman: Hello, operator? Operator, I almost heard some.
Operator: And our next question comes from Matt O'Neill [Autonomous Research]. You may begin. They're not responding. Do you have an audio path on that bridge?
Mike Brown: We can hear you, operator.
Operator: Again, your line is open.
Matt O'Neill: If you guys had any updates -- 
Operator: Matt O'Neill, you may begin.
Matt O'Neill: Hi, good morning, guys. I was just wondering if there's any updates to the M&A pipeline? You've done a lot in money transfers assumingly and I think assets like XE will prove very sensible once we start understanding how the customer acquisition channel comes through. Is there other assets like that out there that you've identified that might be of interest?
Mike Brown: We're always looking at opportunities in all three of our segments and just coincidentally we had three over the last 16, 17 months. We have had three acquisitions of money transfer. But for the prior seven and a half years we had zero. So, it's -- you've just got to find one that fits right and one that's priced right. So we're always looking. To be frank, private equity tends to be a little bit aggressive on their pricing, so sometimes assets that we might have interest in are priced out of our range that could make it a good return for you, the shareholders. So we're just looking, we don't have anything big in the pipeline right now. We'll just keep on looking.
Matt O'Neill: Got it. Thanks very much.
Operator: And we have one question from Mike Grondahl. Mike, your line is open.
Mike Grondahl: Yes. Just a follow-up, guys. The promotional activity in the epay business, help us understand was that like an advertising promotion, a couponing promotion? What kind of drove that? What was the activity?
MikeBrown: It wasn't advertised or couponed, it was a promotional discount that a particular non-mobile partner made available to the retailers to the market and they were abled into take that and turn around and stimulate a greater volume of sales. So it wasn't advertised, it wasn't promoted, but we know that when those types of activities are presented out in the marketplace, you know, the creativity of all of the entrepreneurs, the customers buying these products, things like that, they sell. If you take a look at the list of non-mobile products that we have out there, we've got a lot of those products that are new and emerging and are very, very attractive to consumers. So and we see these kind of promotional activities from time to time, we just happen to get a little bit more benefit than what we expected in this particular case, so it's not a -- it's not what a call I think somebody earlier said non-core. It is core to our business and as I commented in my remarks, we're really glad that we're in the position to take advantage of these and we pointed out probably more so from the standpoint that it was a large enough difference in respect to the guidance that we gave that, it would just help you better understand why that unit performed so well during the quarter.
Rick Weller: You might remember, Mike, that about a year and a half ago, when the Post Bank in Switzerland had their promotion, we sold a whole lot of product during that phase because they were basically spent themselves like a million and a half Euros on their own or Switzerland Francs, which were dollars at the time to promote this to attract more customers. So we could continue to see one of those things, certainly not one of the things that we count on.
Mike Grondahl: Got it. Maybe just lastly, are you seeing traction with Netflix?
Mike Brown: It's just starting. I think Netflix has got, they have got a great name over here and actually Kevin has point to me because he is really into the Netflix overseas. So, I will pass it to him.
Kevin Caponecchi: Yes. So, Mike, there is two challenges with it. One Netflix itself isn't growing a popularity outside the U.S. market. Netflix themselves see these market as important. So, they're trying to continue to always introduce new local content beyond the U.S. based content to attract consumers in that market. Secondly, what we really introduced Mike was a subscription card. So, rather than your Netflix subscription tied to your credit card, since users in the markets that were present typically don't use their credit cards online. We are selling credits towards the subscription and that's just a little new and different. And it is taking time or that the catch-on in the market but we are seeing month-over-month, quarter-over-over growth with the product.
Mike Brown: Typically, we don't, we have sold discrete credits in the past as opposed to subscription credit. And so, we liked the idea of subscription. Because the more people that release those through kind of our domain by definition subscriptions are repetitive and so we like getting into things like Netflix and there could be other things too.
Mike Grondahl: Great. Take care, guys. Thanks again.
Operator: I'm showing no further questions at this time. I would now like to turn the call back over to management for closing remarks.
Mike Brown: Do you have Alex Veytsman on there, operator? We show him on ours.
Operator: We did get a queue from Alex Veytsman of Monness Crespi. Your line is open.
Alex Veytsman: Yes. Hi. Good morning, guys. How are you?
Mike Brown: Good.
Alex Veytsman: Congrats on the great quarter. Just a quick question on the epay. So it looks like it grew 5% on a constant currency basis, which is inline with its transactional growth, it was 5% as well as. And it looks like there was some softness in Brazil and in the U.K. First of all, just curious I mean like what's your outlook for the softness in those two markets, do you expect to linger into the fourth quarter and next year?
Mike Brown: We're doing all we can to make those markets more robust. I can't tell you for sure what's going to happen but we have spent in a lot of energy. They will get those too up. We've had virtually all of our other markets are out but those two are only laggard. So, we're working on it.
Alex Veytsman: Okay. And also I mean as we think about the next quarter in the following year, I mean, what it would take for the growth to accelerate to upper single digit and low teens growth, I mean like what really needs to happen on the transaction side and I mean on the POS side to accelerate growth for the several quarters?
Rick Weller: I think that we would have to see a more of a troughing effect on the mobile decline. We continue to see some declines in that arena. Our non-mobile product is clearly continue to grow a very strong double-digit growth rate. And so, if you we were to see that number trough out that would push us up into the upper singles if not even stronger than that in terms of our growth rate. So we will continue to work on that. And as well as add more and more non-mobile products. So that we could possibly stimulate even more growth there.
Alex Veytsman: Got it. Thank you.
Mike Brown: All right, operator, I think we can end.
Operator: Certainly, I would like to hand the call back over to management for closing remarks.
Mike Brown: Okay. Thank you, once again, everybody for joining today. We're from Kansas City, so we have to end the call with Go Royals! Thank you very much everybody. Bye-bye.